Operator: Good morning, ladies and gentlemen, and welcome to the Ivanhoe Mines 2025 Fourth Quarter and Year-End Conference Call. [Operator Instructions] This call is being recorded on Thursday, February 19, 2026. And I would now like to turn the conference over to Tommy Horton, Vice President of Investor Relations. Please go ahead.
Tommy Horton: Thank you very much, operator, and hello, everyone. I'd like to first and foremost, thank you for joining our call today and happy Chinese New Year. It's my pleasure to welcome you to Ivanhoe Mines' Fourth Quarter and Full Year 2025 Financial Results Conference Call. As the operator mentioned, my name is Tommy Horton, and I'm the Vice President of Investor Relations. On the call today from Ivanhoe Mines, we have Founder and Executive Co-Chairman, Robert Friedland; President and Chief Executive Officer, Martie Cloete; Chief Financial Officer, David van Heerden; Chief Operating Officer, Tom van den Berg; Executive Vice President, Corporate Development; Mr. Alex Pickard; and Executive Vice President for projects, Mr. Steve Amos. We'll finish today's event with a question-and-answer session, so you can submit your questions via the Q&A box on the webcast as well as through the conference operator via your phone line. Please also contact the Investor Relations team directly for follow-up questions that are not answered during the call today. Before we begin, I'd like to remind everyone that today's event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements are contained in our February 18 news release as well as on SEDAR+ and on our website, www.ivanhoemines.com. It is now my pleasure to introduce Ivanhoe Mines' Founder and Executive Co-Chair, Robert Friedland, for some opening remarks. Robert, over to you.
Robert Martin Friedland: Thank you, ladies and gentlemen, and everybody listening in.I happen to be in the Middle East at this time. It's the month of Ramadan. The fast has just broken. It's also Chinese New Year. I've been living on an airplane in at least a dozen countries in the last three weeks, and we are on our way to the BMO conference, which is the largest of the mining conferences at this time of year. As we look at that, opening photograph of our opening remarks, I'm struck that on the 19th of February 2026, we can announce that we've jointly announced with Trafigura and Aurubis in Germany, the last shipping, and then down the Lobito Corridor to the Atlantic Ocean. That's a downhill rail run for about 3,200 feet elevation down to sea level, so the train is actually going downhill from the mine to the sea. This is the largest smelter on the African continent. It's a direct-to-blister furnace, the largest ever built in the world. With Outotec's engineering and Nerin from China, we can say it's the most modern and greenest of copper smelters going down the railroad. And, you know, when I look back to the years when the idea of copper coming out of the Central Congo was just a dream, but today it's reality and will last for generations. The Western Forelands is traversed by that new railroad. We have incredible exploration potential there. We continue to run about a $100 million a year budget in exploration for copper, and we find more copper per dollar or per penny than anyone in the industry. Our finding cost to find copper is under a penny a pound at a 1% cutoff grade, and very few districts even have 1% copper. So that's remarkable that it's just today that we jointly announced with Trafigura and Aurubis that this 99.7% copper is going its way to the ocean. In addition, the Zambian government to our south, who have a couple of smaller copper smelters, have announced that they will not export their sulfuric acid any longer to the DRC because they want to keep it for their own Zambian copper mining industry. That means that the sulfuric acid price has really risen very dramatically in the Congo, where it's used to leach oxide copper mines, and we've seen prices up to $700 a metric ton for sulfuric acid. So our smelter's producing an extremely valuable by-product. We also have our zinc mine operating, shipping concentrate to the United States. Concentrate for zinc that also contains gallium and germanium, extremely valuable critical metals that will be recovered in future. And the Congo is one of the greatest places to find these sorts of metals. So this is a big day for the Democratic Republic of the Congo as our smelter starts. And lastly, before I turn this over to Marna, our President and CEO, is an image of Platreef, which, after 34 years, has initiated production. Within two years, it will be a giant mine, and a few years thereafter, we think it'll be the largest and lowest cost producer in the world of a group of metals, platinum, palladium, gold, rhodium, which is on the critical materials list, and nickel and copper as well, which are on the critical materials list. So it's a, it's a tremendous turning point for our company. Things are really looking bright. The world needs these metals. And with that, I'm honored to turn this over to Marna. Thank you very much.
Martie Cloete: Thank you, Robert, and good morning and good afternoon, everybody. Thank you for joining us. As Robert mentioned, this is a photo of Platreef that was inaugurated by President Ramaphosa in November. This mine is currently undergoing its Phase 2 expansion, and we will quadruple annualized production to approximately 450,000 ounces of precious metals by the end of 2027. So really, this is the one to watch over the next two years. If we move over to my introductory slide, with 2025 in the rear-view mirror, it's time for us to take stock of what we have achieved. And despite lower production and sales since May, Kamoa-Kakula generated close to 400,000 tonnes of copper, generating $4.2 billion in revenue at a 40% margin and an EBITDA of approximately $1.5 billion. A standout achievement at Kamoa-Kakula was the commissioning of the smelter, as Robert mentioned, the largest and greenest in Africa. The ramp-up of the smelter is ahead of schedule at over 60% capacity. This is a phenomenal achievement by our project and operation teams. Kipushi was the rising star, and after the completion of our deep bottlenecking project, it finished very strong, producing over 200,000 tonnes of zinc, and our guidance for 2026 is set at between 240,000 and 290,000 tonnes. Our 2025 production resulted in an EBITDA of $91 million. Our group EBITDA amounted to $578 million, with a net profit of $228 million. Our CFO, David van Heerden, will present our financial results in more detail shortly. We can move over to the next slide. For those listeners that participated at the Mining Indaba recently hosted in South Africa, it would be amiss if we do not highlight the role that the DRC is taking in the rush for critical metals on the global stage. Progress on regional peace via Washington Accords for Peace and Prosperity has boosted the outlook for the DRC, and we can witness this through significant foreign investment in the mining industry. There was a 7% increase in copper production year-on-year to 3.2 million tonnes in 2025, making up 14% of the world's production. In the last 10 years alone, copper production increased by 300%, cementing the DRC's position as the second-largest producer of copper worldwide. The S&P has revised its outlook for the DRC to positive due to external and fiscal progress, resulting in real GDP growth of 5% per annum. We can move over to the next slide. Our total recordable injury frequency rate of our operations continues to track in the bottom quartile compared with our industry peers. This is an incredible achievement, given that our workforce has rapidly expanded by over 150% in the past five years to more than 31,000 employees and contractors. For every new employee and contractor onboarded, safety training is a fundamental and mandatory part of the process. However, statistics offer little comfort in the face of loss of life, and it's regrettable that I have to report that we had an unfortunate incident that occurred at Kamoa-Kakula last week, while two employees were conducting maintenance work at the Phase 2 concentrator. During the task, a flammable liquid ignited, causing severe burns to both individuals. They were immediately transported to our on-site medical facility, where they received urgent care. Despite tireless efforts from our medical teams, one of the workers tragically succumbed to his injuries. We are deeply saddened by this loss of life and extend our heartfelt condolences to his families, our friends, and colleagues during this difficult time. The second contractor remains in a stable condition and continues to receive medical care. We are also in close contact with his family and are supporting them through this recovery. Safety remains our highest priority. A full investigation into this incident is underway to determine the cause and to ensure that appropriate corrective actions are taken to prevent such a tragedy from occurring again. We do, however, recognize that one life lost is one too many, and our focus is now on supporting those impacted and strengthening our commitment to ensuring that every person returns home safely at the end of each day. Lastly from me on our sustainability efforts, the following initiatives deserve a very special mention. At Platreef, we inaugurated the Masodi Wastewater Treatment Plant, which was constructed in partnership with the Mogalakwena Municipality. Greywater from this plant will be used in our operations in a closed circuit, providing an innovative, conservation-driven solution to our water use requirements for the mine. And at Kipushi, our total workforce now comprise of 97% Congolese nationals, with our processing plant department made up of 100% national workforce. Kipushi is really setting the standard for both Kamoa and Platreef, and we will work hard to achieving the same goals at our other mines. With that as an introduction, I will now hand over to David van Heerden, our CFO, to take you through our financial overview.
David Van Heerden: Thank you, Marna, and good morning and good day to everyone joining the call today. Yes. Kamoa-Kakula achieved its highest ever revenue for a calendar year of $3.3 billion in 2025, and that was at a realized copper price of $4.40 per pound. Revenue was up from the $3.1 billion achieved in 2024. Annual EBITDA was $1.4 billion at a margin of 44%, and Kamoa-Kakula recorded EBITDA of $331 million for the fourth quarter, and that was up 69% from Q3, but was still impacted by the lower grade and ore processing. Although cash costs increased, the margin was up to 38%, and assisted by the higher copper price. Kamoa-Kakula sold almost 79,000 tonnes of payable copper in the fourth quarter, recognizing revenue of $866 million at a realized copper price of $4.98 per pound of payable copper. Sales for the quarter was in excess of tonnes produced, leading to a slight decrease in contained copper and concentrate inventory on hand to 50,000 tonnes at the end of the year. That was down from the 59,000 tonnes of copper on hand at the end of Q3. The majority of the inventory is sitting ready to be smelted, and by the Kamoa-Kakula smelter. Inventory at the Lualaba Copper Smelter in Kolwezi has decreased to about 3,000 tonnes. We expect, as we've sort of said before, that copper held in the stockpile and the smelting circuit will be reduced to approximately 17,000 tonnes during 2026 as the smelter ramps up. We therefore expect that the 2026 copper sales will be at least 30,000 tonnes higher than the copper production in 2026, with most of that, the stocking, expected to occur in the first half of this year. Moving to the next slide, where we show the usual Kamoa-Kakula EBITDA waterfall graph. The EBITDA waterfall highlights the drivers of the quarter-on-quarter EBITDA change. As we start on the left-hand side of the screen, the higher tonnes sold in Q4 compared to Q3 was responsible for a $47 million increase in EBITDA. The higher copper price, both provisional and realized, was responsible for a combined $168 million of the increase. Logistics and operating costs were a little bit higher than where they were in Q3, but I'll explain that more when we get to the cash cost slide. And then realization cost was slightly higher, mostly due to the higher copper price. Of the sales in the quarter, we had 50,000 tonnes provisionally priced at the end of December, and with the higher copper price in January and February to date, we do expect a very nice upward remeasurement of receivables again in the first quarter of 2026. Moving to cash costs, and for the fourth quarter, firstly, of 2025, that was $2.99 per pound of payable copper. As you can see from the breakdown of our cash costs that we present in our MD&A, logistics charges and G&A was abnormally high. During the quarter, the concentrate transported had lower contained copper and concentrate when compared to previous quarters, and there was also less concentrate sold at the Lualaba Copper Smelter. So in simple terms, more tonnes were moved to move the same amount of copper, leading to higher costs on a per pound of copper basis. The fact that tonnes sold for the quarter was also higher than tonnes produced, also had a also contributed to the increase. G&A for Q4 included a few one-off items relating to staff costs, consumable write-downs, and software expenditures. So we don't see the Q4 level really being completely representative of where we expect G&A costs to be in the future. And I think if you look at cash costs for the full year, it, it's pretty positive that the $2.16 per pound was still within our revised guidance range for the year. Throughout 2025, cash costs increased proportionally, basically, to the decrease in the grade processed from Phase one, two, and three, and then, of course, the stockpiles. And as we mine more higher-grade areas on the western side of the Kakula mine and the overall grade improves, cash costs per pound will trend back down again. But let's look ahead on the next slide. So our cash cost guidance for 2026 is $2.20 to $2.50 per pound of payable copper, and we expect that to improve to between $1.90 and $2.30 per pound of payable copper in 2027. The pie chart on the left-hand side shows the breakdown of our cash costs in the second half of the year in percentage terms, and then as represented by the yellow and green arrows, and we show where our cash costs are expected to improve over the coming year. So we expect that logistics and TC/RCs will improve by approximately 30% due to the impact of the smelter. And then we expect that mining, processing, and G&A will improve by approximately 20% on a per pound basis as the grade increases and improves. We obviously expect the smelter benefit to improve further over time, and as production of the smelter improves and as efficiency there also improves. Then there's obviously also a number of other areas where the team is placing focus on, and where they have strong belief that they can have further impacts on costs. As we turn to Kipushi on the next slide, Kipushi set a new record of quarterly production in Q4, and sold almost 48,000 tonnes of payable zinc for a record quarterly revenue of $138 million. Zinc sold was slightly in excess of zinc produced. So, fourth quarter -- sorry, actually, the other way around -- zinc produced was slightly in excess of zinc sold for the quarter. So, the fourth quarter could even have been better. But zinc prices have continued to trend upwards, so we will reap the benefits of that in the first quarter of this year. Kipushi's EBITDA for 2025 was $91 million, and $44 million of that was generated in the fourth quarter. Cash costs for Kipushi came down nicely as expected with the increased production, and was $0.86 per pound of payable zinc for the quarter, and $0.92 per pound for the full year, which was pretty close to the bottom of our guidance. Our 2026 guidance is $0.85 to $0.95 per pound of payable zinc, and it does include room for a increase in the benchmark treatment charges. So moving to the next slide, Ivanhoe recognized profit of $228 million for 2025, and this was $35 million higher than the profit for 2024, with 2024 being impacted by the fair valuation of our then convertible notes, which was redeemed in 2024. Our group-level adjusted EBITDA was $578 million for 2025, and only 7.5% lower than our annual record in 2024. The principal driver of our adjusted EBITDA was again our share of EBITDA from Kamoa-Kakula, but Kipushi has started to contribute meaningfully in Q4 of this year, and Platreef will do the same towards the latter parts of 2026. If we move to the next slide. Here we show a liquidity snapshot, and Ivanhoe had $885 million of cash and cash equivalents and short-term deposits on hand at the end of December, while Kamoa-Kakula had cash on hand of $311 million. The private placement with QIA in September and our senior notes issued in January leaves us in a very comfortable position at the end of 2025. Kamoa-Kakula concluded a two-year term facility of $500 million in the third quarter, and drew down $370 million of that in early October in 2025. But both Ivanhoe Mines and Zijin also funded cash calls of $150 million each to Kamoa-Kakula in December, assisting Kamoa-Kakula's liquidity. Our consolidated pro rata financial ratios continue to be comfortable with our net debt to EBITDA ratio of 2.1x. The net debt ratio will, of course, improve as our EBITDA grows in the coming periods. Moving to our capital expenditure on the next slide. At Kamoa-Kakula, we underspend in terms of our initial guidance in 2025, showing very good capital discipline. That underspend has been shifted to 2026, and we've also put revised guidance or guidance out for 2027 as a good indication of what we believe will be spent in that year. The work for Kamoa-Kakula's updated development plan is progressing well, and as we have noted, that will be filed before the end of March this year. At Platreef, Platreef came in towards very close to the bottom end of their 2025 capital expenditure guidance. Platreef completed Phase 1 development within and under budget, and that was the key driver to the low-ish or very good managed spend for Platreef in 2025. And then the 2026 and 2027 guidance is in line with the feasibility study completed in early 2025. And a large portion, $600 million of Platreef's remaining Phase 2 capital will be funded by the additional project finance facility, which has recently been signed. At Kipushi, the expenditure at Kipushi was also pretty close to the 2025 guidance, and Kipushi now moves to steady state, but then also with a few improvement projects planned for 2026. Yes. Thank you very much, and I'll now hand over to Tom van den Berg, Steve Amos and Alex Pickard, to take you further as part of the operations and projects update.
Tom van den Berg: Thank you, David. As you can see in picture there before, Project 95 on its way. Kamoa-Kakula concentrate production. So despite the usually challenging year for everyone at Kamoa-Kakula, we would like to remind the audience that the mine still produced 389,000 tonnes of copper. It is still comfortably within the Tier 1 operations, among the top 10. The year for this year, that's 2025, Phase 3 will remain the star performer and locked in at plus 30% mill throughput and produced a record 145,000 tonnes. We expect the head grades to gradually improve through the year as the recovery plan advances, at Kamoa-Kakula, more so at Kakula. And then reaffirming the guidance numbers, though we expect that the first quarter will be the weakest, with lots of catching up to do in the second half of the year as we establish new accesses and new mining areas. Project 95 is also nearing its completion, which we aim to take recoveries at Kakula to well above 90%. So in brief, you can see there Phase 3, a record 144 tonnes of copper production in 2025. The Kakula mine, we've completed the Stage 2 dewatering activities, enabling the mine to reopen the higher-grade mining areas in the front of Kakula East as well as Kakula West. And then we're remaining our guidance at 380,000 tonnes to 420,000 tonnes and in 2027, potentially 500,000 tonnes to 540,000 tonnes. We can go to the next slide, please. Just looking at the dewatering. So the slide on the right-hand side depicts what was Kakula mine. We had a big fish right across with lots of water. We've only got the head of the fish left at this stage. So that blue that you see in the bottom right corner is effectively the pond that's left on the eastern side of the mine. The red dots demarcate new pump stations that we've refurbished and have got up and running. The black dots demarcate new pump stations that we're busy commissioning and recommissioning in different areas at the top of the northeast side of Kakula and the bottom at the southeast side of Kakula. We're busy establishing those currently as we speak, and then we've got one more pump station. In terms of water, we're seeing about 4,500 liters of water coming to Kakula, and we are able to pump that, and we have more capacity than that 4,500 at this stage. So we've completed the dewatering up to stage two, and currently what we're doing is we've got some selective mining happening on the eastern side in old stoping areas, plus inside the east side of the mine and down on the southeast side of the mine. The western side of the mine is totally dewatered, and our crews are busy accessing the high-grade areas there at the moment as we speak, and we will see better grades coming out the west side of the mine in a short time. We can go to the next slide. So the photo you see in the picture is the access at what we call Kakula mine, which is near Kamoa 1. So Kamoa 1, we started the access. We've actually progressed this quite well, and this box cut is taking shape as we speak. We also have started one at Kansoko Sud, and that is also in line, so it is also progressing very well. So those are new accesses. Kansoko Sud is to affect easier access into the Kansoko ore body and to improve productivity. This one that you see here in front of you in picture is at the Kakula box cut. We're gonna be adding additional crews and then rebuilding our stockpiles as we go forward and filling the mills. So we're in the process of finalizing an updated study to ramp up the underground operations back to 17 million tonnes per annum and maintain an excess steady state of excess 500,000 tonnes of copper. The work under the new mine design parameters informed by world-leading experts, and we will do more disclosure on that in time to come when the study is complete. So that should be in late March. Okay. Thank you. We can go to the next slide. What you're seeing here is the picture of the first casting that took place, the first anode, at the smelter. Apart from the recovery plans on the underground mining side, we are still hitting huge milestones overall at the Kamoa-Kakula project, so this was the commissioning. It's the largest copper smelter in Africa. It was completed last year at a capital cost of $1.1 billion and we announced this first anode production in December. This is a huge step change, as Robert spoke about, for Kamoa-Kakula to become an integrated metal producer, which reduces shipping costs dramatically and benefits from much lower credits, and acid credits will also be got, as David referred to, and I'll talk to that as well. The ramp-up of the smelter is ahead of expectations, and we are already over 60% of the steady-state feed capacity at the smelter. The first shipment, as Robert also referred to, has taken place along the Lobito Corridor, and this is exceptionally low-carbon copper that is reaching the market and off on its way to Germany right now as we speak. Thank you. We can go to the next slide. Just in terms of the direct, direct-to-blister smelter acid sales, we also had an equivalent of greater than 60% on the acid and acid production. We are producing around about 1,200 tonnes per day of sulfuric acid, and that's again at over 60% capacity. This acid has been sold to consumers in the DRC Copperbelt and taking advantage of the very high demand in the domestic market. Realized prices have been north of $450 a tonne, so very pleased with that. Thank you. I'm gonna hand over to Steve for the next slide.
Steve Amos: Thanks, Tom, and hi, everyone. So, October 2025 was a big year for the project team. We commissioned our turbine G25 at the Inga Power Station. For those of you who don't know, the Inga Power Station is on the Congo River, one of the widest rivers in the world, in the western DRC. Initially, Kamoa is only receiving 50 megawatts of 178 megawatts, and that is due to constraints on the transmission. We're busy working at two of the converter stations, one at Inga, which is pictured on the right-hand side there, and one at Kolwezi, which is very close to our mine. We're busy installing a static compensator at Kolwezi, and by late March, that will boost the megawatts to Kamoa to 85. We're also busy with two filter banks at SCI, which is the Inga Converting Station, and that will increase the power to Kamoa to 125 megawatts. The deal we have with SNEL, the DRC power utility, is that we receive 70% of the available power from Inga, so 70% of the 178 megawatts, which is 125 megawatts. Next slide, please, Tommy. I think something quite exciting in terms of power that's going on, on the mine site, so on the Kamoa license, we have two IPPs, independent power producers, that are constructing two 30-megawatt solar farms on the site. These 30-megawatt solar farms are 30 megawatts, 24 hours a day, 365 days a year, so it is reliable power. The way they do that, they install, and I speak under correction, approximately 120 megawatts of solar power at these farms with battery storage. So it doesn't matter if it's nighttime or it's raining, we still receive our 30 megawatts. Timing on that, for the first IPP, between April and June this year, so 10 megawatts in April; 20, May; 30, June; and the second one, May to July, 10, 20, and 30 megawatts there as well. So we'll have 60 megawatts of clean, renewable power by July. What we're also doing is Phase 2. Phase 2 will be another 60 megawatts. Very similar kind of concept. Again, two IPPs identified, one of them from Phase 1. Contracts have been signed, and mid-2027, we're expecting the additional 60 megawatts, which will take us up to 120 megawatts of, of renewable power on site. That's all from me for now, Tommy.
Tom van den Berg: Thanks, Steve. So Kipushi, this has been a very significant ramp-up year for the Kipushi mine. It started producing at the end of 2024. So as you can see, in 2025, a good ramp-up in terms of ore tonnes milled, zinc ore grade processed, and zinc concentrate produced, as well as zinc recovery. Production was a little low in the first half of the year, but since the debottlenecking, the project was completed in quarter 3, Kipushi has really hit its stride. 2,003 tonnes of zinc for the year was in line with guidance, above the midpoint of the range. In particular, we saw records in quarter four of 61,000 tonnes, and looking at December alone, 22,600 tonnes, which is equivalent to 270,000 tonnes annualized. We also highlight the recoveries we have been achieving at 93% in December, so looking to keep that up in the performance in 2026. Thank you.
Alex Pickard: Thank you, Tom. It's Alex Pickard speaking. I'm just going to talk briefly about the sleeping giant that we have now awoken, I think, at Kipushi. I think you know you are in a bull market for commodities when the zinc price is finally trading at multi-year highs, so we're currently above $3,300 per tonne or around $1.50 per pound. But that's especially exciting given the fantastic progress the team have made at Kipushi with the debottlenecking. And so with that, we are announcing our guidance range for Kipushi of 240,000 tonnes to 290,000 tonnes of zinc in concentrates. As Tom just mentioned, our month of December was sort of bang in the middle of that range at about 270,000 tonnes annualized. So I think, for those who've had the pleasure of visiting Kipushi, it is an incredibly small footprint for a mine, and it's a very clean and tidy operation. But it's quite incredible to think that, from that small footprint, Kipushi will now be the fourth largest zinc mine in the world, as you can see on the right-hand side. As David touched on, with the operating costs trending firmly downwards at Kipushi and very low capital costs going forwards, we should start to see much more of a significant financial contribution from Kipushi, both in terms of EBITDA and cash flow. And then an announcement that we made a couple of weeks ago while our Executive Chairman was in Washington. We are working on options to recognize the value for Kipushi's by-product metals, which includes highly strategic, critical minerals, including germanium and gallium. So we are working very closely with our joint venture partner, Gecamines, which is the DRC state-owned mining company, and one of the current off-takers, which is Mercuria Trading. And what we're looking to do is move Kipushi concentrates or a portion of the concentrate to the U.S. markets, where currently there is a major investment taking place in zinc smelting and refining capacity, including critical minerals. Talking about the right time for Kipushi, it's also very much the right time for Platreef, and I think we're very close now to fully awakening the potential that we have at this incredible Platreef mine and the Platreef deposit. So the image that you can see here is the formal inauguration of Platreef, which took place on November 18, 2025. It was an excellent ceremony attended by the President of South Africa, who you can see in the foreground next to our chairman, Robert Friedland, and also included key members of the national and regional government, as well as the Ivanhoe Mines management team. The Phase 1 mill is not really the big story here. We've been campaigning ore from developments at lower grades. Really, that Phase 1 mill will start properly once we begin stoping in around one month's time. It is just the beginning of a much larger project, which ultimately will be one of the largest producers of platinum group metals in the world. So I'll pass back to Steve Amos to talk about the Phase 2 expansion, which is gathering steam.
Steve Amos: Yes, thanks, Alex. So interesting times for Platreef. A major milestone happening towards the end of next month, and that is the commissioning of shaft 3. People might remember, a number of years ago, we made a decision to repurpose that shaft. It was initially going to be a ventilation shaft, so we've repurposed it into a 4 million tonne rock wasting shaft. It's not only the shaft, underground, there are 2 conveyors with stripe tips feeding that shaft, and very importantly, the first crusher underground will be commissioned before that shaft starts wasting. The crusher underground allows us to stope and crush material and waste it to surface. Why this is such a big deal for Platreef is that Platreef is significantly constrained by shaft 1. That's the shaft on the left-hand side. It's a 1 million tonne per annum wasting shaft, but it is handling all the men, all the material, all machinery and equipment that has to go underground, all development ore, and all stoping ore. So it's severely constrained, and this really opens up Phase 1. It supplies significantly more ore than Phase 1 can handle. And the advantage of the shaft really is that it allows us to build up a stockpile for the start of Phase 2, which is at the end of 2027. So once the shaft is commissioned, a total of 5 million tonnes of wasting capacity. Next, please, Tommy. So on the right-hand side is the big shaft. We call it shaft two, headgear is complete. We have a pilot hole from surface down 1,000 meters, 3.1-meter diameter. The idea with this shaft is, it de-risks Phase 2, but it really is the future for Phase 3. Phase 3 is about an 11 million tonne per annum operation. We've just appointed a contractor to do what we call Slype and line. So that is extend the diameter of the shaft from 3.1 meters to 10 meters and to line the shaft. And then, as I said, the shaft is capable of hoisting 8 million tonnes per annum. So in terms of schedule, men and materials, Q4 2028, and then hoisting, Q3 2029, and that's is the one of the largest shafts on the African continent. Just in terms of where we are with Phase 2, Phase 2 concentrator coming online at the end of 2027. EPC and contract award awarded, earthworks contract awarded, most of the long lead items for the plant awarded. So we are good to go for the end of 2027 for Phase 2, approximately 500,000 ounces 4E, platinum, palladium, rhodium, and gold, 10,000 tonnes of nickel and 5,000 tonnes of copper. Thanks.
Alex Pickard: Thanks, Steve. And then looking at this slide, which is showing the PGM price deck over the past 12 months, what you can see here is a dramatic increase in PGM pricing, even with a small recent pullback in the month of February. All in all, you can see, we've had a 74% increase in the basket price for platinum, palladium, rhodium, and gold produced by Platreef, compared with the feasibility study prices. And so you can see on the chart, the yellow line, the dotted line, is our C1 cash cost of around $600 per ounce once we reach Phase 2 capacity, which is really underlining why we are building this Tier 1 operation in South Africa, which will be the highest margin PGM mine in the world, for many decades to come. And it's also worth noting that we, we have further support from the byproducts that are included in that cash cost, nickel and copper, which are also both trading at multi-year highs. A bit of fun with numbers, but if you look at the spot prices and the models that we previously published for our feasibility study and scoping study, you can get some pretty exciting numbers for Platreef that I think are very much not captured in today's share price. So if you look at the feasibility study case alone, which is, less than 2 years away and under $800 million in CapEx to get to production, the NPV today is looking at, in excess of $3 billion. And then when you look at the larger 1 million ounce expansion case, including Phase 3, the NPV is closer to $8 billion. So quite remarkable numbers coming from Platreef that we will hopefully start to realize or gain more recognition for as we continue with the Phase 2 expansion. Robert gave a good intro on the excitement that we have around our Western Forelands Exploration and our broader exploration efforts. As we say on the title here, the Makoko District is continuing to expand at a pace. We will be talking a lot more this year about our exploration efforts in general. We completed 53,000 meters of diamond drilling at the Western Forelands. It was a slightly slower year than we'd originally planned, just given what happened at Kamoa-Kakula, but still 53,000 meters enabled us to do a lot of step-out delineation work in the Makoko District. So you can see some of those drill holes represented on the map. Across the strike length, which is about 18 kilometers, we declared a mineral resource estimate last year, which contained around 9 million tonnes of copper. That was at average grades at about 2% copper. Some of it's very shallow, and in terms of grade, that is very comparable to the overall global Kamoa-Kakula resource. Where we've been focusing in terms of our drilling is on connecting the footprint between Makoko and Kitoko, so you can see the dots that are sort of adjoining those two ore bodies, and then stepping out to the south of Kitoko, which continues to expand, albeit at depth, and as well as that to the east of Makoko, where we are really now starting to connect the dots to a broader system back towards the Kakula West ore body. So our target with the Western Forelands is to put out an updated mineral resource estimate by mid-year, and safe to say, it will not be any smaller than the one we previously put out, last year. Finally, and quite an exciting announcement, we've also commenced our preliminary engineering work, and that's really looking at the camp, the facilities, the footprint that we need for the beginning of a new mining complex in the Western Forelands. So the idea being that once that mineral resource estimate is completed, we can really hit the ground running with a scoping study on the Makoko District. Then finally, just to close out, looking at our global exploration portfolio. So across the portfolio, which includes the Western Forelands, but it's also looking in Zambia and Angola for similar mineralization and trends as what we have in Western Forelands, and now also in Kazakhstan. We have a budget this year of $90 million. That's about 88% up on the previous year's spend. In fact, we plan to spend more in the Western Forelands at $50 million than we spent across the entire portfolio last year. In the coming weeks, we will be putting out some more information, specifically on the exploration program, so we can do a bit more of a deep dive with maps and so on, across the different licenses. But if we look across the entire portfolio, we're targeting 140 kilometers of drilling, so it's a huge amount of drilling, which is very much sticking to Ivanhoe Mines' DNA of growth and creating value through the drill bit. The right-hand side is just showing an indication of the exploration spend by project, so you can really think of that in terms of the amounts of drilling meters by project. So you can see, we also have a big emphasis this year on our joint venture projects in Kazakhstan. So with that, I will wrap up and hand back to Tommy Horton to chair the Q&A.
Tommy Horton: Thank you very much, Alex and thanks everyone. We'll now proceed with Q&A. [Operator Instructions] So Operator, please proceed with the phone Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Daniel Major from UBS.
Daniel Major: Yes, I just wanted to first question, just thinking about the updated life of mine plan for Kamoa, and particularly thinking about the reserve and resource element to that. Looking at the breakdown of the reserves, Kakula's got about 6.6 million tonnes of reserves at 4.8% copper, in the eastern, predominantly eastern section, is my understanding. Do you envisage you have to remove part of that from the reserves in this update, given the flooding and the seismic issue?
Alex Pickard: You want me to take that one, Tommy?
Tommy Horton: Yes. Got for it, Alex.
Alex Pickard: Yes. So, Dan, I don't want to sort of preempt and go into too many details about, you know, what we will be disclosing in a lot of detail next month. But obviously, when you look at the Kakula mine, and specifically parts of the sort of old Kakula mine, so the central area that was flooded and is now largely dewatered, but at least partially dewatered, there will be some zones within that area which will be removed from the reserve. But, you know, largely speaking, those zones were already at quite a mature Phase of extraction anyway, so it's not a huge impact on those areas alone in terms of tonnage. But yes, you know, we could go on this subject for another half an hour. I think it's better once we've got the results out next month, then we can do more of a deep dive.
Daniel Major: Okay, thanks. That's useful. And then, second question, in terms of the cost profile, and again, maybe trying to squeeze out more from what we'll get from the, life of mine update, but, essentially, yes, would it be a sensible assumption to assume something comparable to the 2027 guidance, from a cost standpoint, maybe slightly lower in 2028, 2029, assuming you achieve around the 550,000 tonne run rate at Kamoa-Kakula?
David Van Heerden: Yes, I'd say pretty much the same as Alex. I don't think we should go in too much detail that far in the future, given we'll have that information to the broader public pretty soon. But I think it is fair to say that as production increases, we do expect costs to trend down, but yes, I'll leave it at that for now.
Operator: Your next question comes from the line of Lawson Winder from Bank of America Securities.
Lawson Winder: Can I ask about the U.S. Critical Minerals partnership? And you know, with the context, and my understanding is that currently, Ivanhoe receives no payment for the germanium and gallium contained in the Kakula ore. What would be the technical adjustments needed to extract that value? And then ultimately, like, how do you envision the U.S. partnership factoring in? Could there be some direct funding? And then what would be a timeline to expect some value to be realized from that? And then just a third sort of point on that same subject, is there any scope for the partnership to expand into copper?
Robert Martin Friedland: Thank you, Bank of America. I don't know if you can hear me well. I think it's a little bit premature to talk about these subjects. Ivanhoe is planning to open a New York and Washington D.C. office, and we spent a lot of time understanding the viewpoint of the United States of America and its government. I think it's fair to say that the United States places the Democratic Republic of the Congo at the highest order of priority internationally. I think the penny has finally dropped that the Democratic Republic of the Congo is probably the world's greatest source of critical raw materials to the United States and other Western economies. I don't think it would be possible to have more attention on the Congo from the United States government than you could possibly imagine. Copper is now on the critical raw materials list, and it's now well understood that the middle part of the piece, smelting and refining, is absolutely critical to America's national security. There are a lot of metals in the lead business and the zinc business, which are produced as a byproduct of leaded zinc. Similarly, with copper, a copper smelter recovers many other critical materials. We're the first new mining company to build a world-class smelter, and we see ever-escalating interest in support for development of the DRC, and we expect this only to grow in the future. That's really all I want to say at this time. There's gonna be a -- I think we'll have more discussion about this publicly in the next few months. But thank you for your, for your interest on it.
Lawson Winder: Thank you very much for your response. If I could ask one more strategic question, Robert, and perhaps Marna, you could weigh in on this, too. How do you view Ivanhoe's current appetite for M&A potential acquisitions, corporate level acquisitions or perhaps large asset acquisitions, particularly in light of the outlook for strengthening free cash flow from here, and then, you know, also in light of your recent partnership with QIA?
Robert Martin Friedland: Well, I happen to be in Qatar at the moment, and as we said in our press release, we're in a continuous dialogue with all the world's major mining companies and sovereign investors, and we see a lot of opportunity to grow our company. I think interest in the Western Forelands is nearly infinite. We can find copper there a lot faster than we can mill it, that's for sure. So in the future, any excess milling capacity could be filled from initial mining in the Western Forelands, and then it can stand up its own standalone mining, concentrating and even smelting capacity. I think I can say that after some 40 years in the business, I have never in my lifetime seen the intensity and the focus of interest in the expansion of mineral development, not only in the Congo, and in Zambia, and in Angola, and in South Africa, but around the world. I think there's a more sober understanding now that all critical materials depend largely on Africa for their development. I mean, where else could you go and build a Tier 1 mine for $1.3 billion, as we did in Phase 1, and recover the investment in 10 months? Where could you build a $1.3 million mine and generate $6 billion of free cash flow from it in the first few years? My God, in the United States, you've got mines like Resolution that have been trying to get a permit for 35 years, and Pebble took another step backwards in Alaska just today. So, if you want to resolve our national security concerns, it's blatantly obvious that Africa is the continent that is the most important, and that places a tremendous premium on our operating team. The women and men that run our company that actually understand Africa, actually have highly trained African people. Because if there's one limiting factor to this whole mess, it's the shortage of trained people. I would say flat out, the biggest asset our company has is the quality of the operating staff. On the exploration side, probably the best in the world, and on the operations side, probably the best in Africa by a big margin. So the demand for these kinds of products, copper included, in the next 10 years is like trying to get the contents of the Hoover Dam through a garden hose, and there's really no chance to make a meaningful impact without the Congo. Look at how flat this land is. There's no ice, there's no snow. You got the highest grades in the world. If you got high-grade bauxite and high-grade electricity, hydropower, you win the game in aluminum. It's exactly the same in copper. If you got high-grade copper and hydroelectric power, it's obvious with no ice and snow, this is the best place in the world to mine copper. Congo has gone from about number 9 in the world in production to number 2 in the last few years that we've been having this dialogue. Louis Watum was the excellent Minister of Mines for the Congo. He worked for Ivanhoe for close to 10 years. He announced recently at Indaba that Chile better look over their left shoulder because here comes the Congo, working to pass Chile as the largest copper producer in the world in the next 5 or 10 years. And then solar power, I mean, you know, what's a better place to put up solar power than this flat land and this close to the equator? So the summary of these factors, I just want everybody to understand, if you can go to the Congo, you can mine copper. If you can go to the Congo, and you can mine zinc, and with that comes gallium and germanium, you can go to the Congo and mine anything. Congo holds some of the world's best resources of tin, tungsten, tantalum, all manner of rare earths, lithium. You name the critical metal, you're likely to find it at higher grades than anywhere in the world. And so we're very happy to be focused where we are. Lots of opportunities for us to combine forces with other mining companies. I think it's fair to say we've had discussions with virtually everybody you can imagine in the mining industry, and we expect this sort of thing to continue on a going-forward basis. That's all I'd like to say about it at this time, but it's a very intelligent question. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now hand the call back to Tommy Horton for any closing remarks.
Tommy Horton: Thank you, operator. As we've come up on the hour, we are at time. Unfortunately, there are a few questions that are still in the webcast queue. So I invite those people to reach out to the Investor Relations team directly, and we will answer those questions for you. So without further ado, we'll wrap up here for the day. Thanks again, everybody, and very much thank you for joining us. We look forward to talking to you again soon, and have a good rest of the day. I'll leave it over to you, the operator, to wrap up.
Operator: And this concludes today's call. Thank you for participating. You may all disconnect.